Operator: Good afternoon, and welcome to Navitas Semiconductor's Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded today, Tuesday, February 24, 2026. I would now like to turn the conference over to Brett Perry of Shelton Group Investor Relations. Brett, please go ahead.
Brett Perry: Thank you, operator. Good afternoon, and welcome to Navitas Semiconductor's Fourth Quarter 2025 Financial Results Conference Call. Joining us on today's call are Navitas President and CEO, Chris Allexandre; CFO, Todd Glickman. I'd like to remind our listeners that the results announced today are preliminary, as they are subject to the company finalizing its closing procedures and customary quarterly review by the company's independent registered public accounting firm. As such, these results are unaudited and subject to revision until the company files its Form 10-K for its year ended December 31, 2025. In addition, management's prepared remarks contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of the risks and uncertainties in the company's filings with the Securities and Exchange Commission, including Form 10-K and Form 10-Q. In addition, any projections as to the company's future performance represent management's estimates as of today, February 24, 2026. Navitas assumes no obligation to update these projections in the future as market conditions may or may not change, except to the extent required by applicable law. Additionally, in the company's press release and management's statements during this conference call will include discussions of certain measures and financial information in both GAAP and non-GAAP terms. Included in the company's press release are definitions and reconciliations of GAAP to non-GAAP items, which provide additional details. For those of you unable to listen to the entire call at this time, a recording will be available via webcast for 90 days in the Investor Relations section of Navitas' website at www.navitassemi.com. And now, it's my pleasure to turn the call over to Navitas' President and CEO. Chris, please go ahead.
Chris Allexandre: Good afternoon, and we appreciate you joining us today. I'm pleased to be hosting my second quarterly conference call as Navitas CEO. We closed out the year with a productive fourth quarter, as we continue to accelerate our pivot to Navitas 2.0 and align the entire organization to focus on addressing high-power markets. In fact, it has been energizing 5 months since I joined the company, and my conviction in our industry-leading GaN and the high-voltage SiC solution has only grown stronger and that our strategic pivot is on the right path to successfully scale the company to the next level. Before providing comments and updates specific to the quarter, I want to briefly reiterate several key elements on our previously communicated strategic transformation and our vision to what we call Navitas 2.0. First, we're accelerating our pivot away from the company's historical mobile and low-end consumer business to focus on high-power markets, where our GaN and high-voltage SiC products can deliver real differentiation and value through higher density, efficiency and reliability. We are laser-focused on 4 high-growth, high-value market segments: AI data center, energy and grid infrastructure, performance computing and industrial electrification. Collectively, this segment represents a serviceable addressable market of $3.5 billion by 2030, split roughly 50-50 between GaN and high-voltage SiC with a combined CAGR of more than 60%. Although the largest portion of this $3.5 billion SAM are within AI data centers and grid and energy infrastructure, I want to emphasize that AI is a shared underlying catalyst across our 4 target markets, driving a rapid acceleration in terms of re-architecture infrastructure, customer expectation and the adoption of the new high-voltage technology. We're leveraging our proven 10-year track record as a pioneer of GaN at scale, having shipped over 300 million unit GaN devices, coupled with a deep expertise in system and application as well as our leadership in high-voltage SiC through our GeneSiC technology. The end goal of Navitas 2.0 strategic transformation is straightforward, to rapidly penetrate, secure expanded customer engagement and achieve scale, resulting in a more sustainable, consistent and future profitable growth for Navitas. Turning to a brief recap of our fourth quarter results. As initial progress of our pivot to Navitas 2.0, we've completed a realignment of the entire organization, both in terms of skills and geography to focus on addressing high-power markets. This includes fully redeploying organizational resources, road map and focus accordingly. Revenue in the fourth quarter came at the high end of our guidance range at $7.3 million, coupled with the fourth quarter being the first time that high-power market represent the majority of our total revenue. We remain confident that the fourth quarter was the bottom. Notably, our Mobile business declined sequentially from a majority of revenue in Q3 to less than 25% of total revenue in Q4. We expect Mobile to continue going down as a percentage of quarterly revenue and become insignificant by the end of '26. Also, consistent with our comment last quarter, we're guiding to quarter-over-quarter growth for Q1 and anticipate continued sequential growth throughout '26, driven by increasing sales traction in the high-power market. Over the last several months, as part of my expanded meetings with customers and partners, I've seen numerous proof points that the new technology adoption is accelerating. AI is a catalyst, changing the game across markets. Existing technologies and architecture are no longer sufficient. The industry is moving faster than it ever has in terms of technology adoption with customers clearly moving in to take advantage of GaN and high-voltage SiC technology. As previously mentioned, AI is a primary catalyst that's driving momentum and broadening the adoption of high-power solutions across all 4 of our target high-power markets. Every interaction with customers has confirmed the market is undergoing secular change and that AI is sparkling revolution we're focused on. This impelling inflection point in architecture, design and technology adoption is highly favorable to GaN and high-voltage SiC, putting Navitas 2.0 at the center of this revolution. As outlined in our last call, the Navitas 2.0 transformation to a high-power company is being backed by decisive actions and grounded in 4 pillars that include market focus, technology leadership, operational efficiency and financial discipline. Let me now review with you the major progress that we've made in each of these areas since our last earnings call. Starting with market focus. As I mentioned earlier, we're sharply focused on the high-power market of AI data center, energy and grid infrastructure, performance computing and industrial electrification. In AI data center specifically, Navitas is uniquely positioned as one of the leaders in GaN and high-voltage SiC, supporting all major AI data center architectures. The density of compute power will require the higher efficiency and power density. It's driving the acceleration of GaN in next-generation data center. During the quarter, we've accelerated sampling of product and solution delivery with our 100-volt GaN and 650-volt GaN targeted at AI data center, 800-volt HVDC and 48-volt IBC HV buck architecture. Samples are currently available in different package sites and are being evaluated by more than a dozen customers. More recently, on February 9, we announced our breakthrough 10-kilowatt DC-DC design platform. This is an all GaN 10-kilowatt 800-volt to 50-volt DC-DC platform, which employs advanced 650-volt and 100-volt GaNFast FETs in a 3-level half-bridge architecture with synchronous electrification. This platform has delivered a 98.5% peak efficiency, which we believe is the best in the industry so far. This full-brick package design platform achieved leading power density and support plus or minus 400-volt VDC standard for AI data centers. This is a great example on how Navitas is able to leverage our 10 years of GaN and system expertise. We're setting the benchmark for scalable, high-performance AI infrastructure. Our product portfolio enabled unprecedented power density to support rapid large-scale expansion of AI data center while also allowing hyperscalers and OEMs the ability to maximize compute density and reduce energy loss in support of deploying next-generation AI workload. On the SiC front, we are very active supporting customers in their AC-DC PSU designs for current AI data center architecture with our latest 1.2 kV SiC devices, leveraging our latest fifth-generation GeneSiC technology announced earlier this month. This product brings improved figures of merit and best-in-class thermal behavior, the topside cooling Q-DPAK package that are being well received by customers. In the grid and energy infrastructure market, the energy grid is in the process of a major transformation and modernization to support the AI catalyst, but also overall growth in energy demand. This is not a short cycle, but rather a multi-decade secular and sustainable trend that will transform grid and energy infrastructure. As a result, we are seeing an acceleration in the design cycles here as well. We are leading this effort with our new ultra-high voltage 2.3 kV and 3.3 kV SiC modules and road map to even higher voltage. We are now in evaluation with over 15 OEMs globally, mostly in the U.S. and Europe with notable acceleration in the U.S. In performance computing, we continue to see increased GaN adoption in high-power chargers and power units for high-end computing and AI notebooks replacing silicon. We have more than 15 projects in production and approximately twice that number in designing across 170-watt, 200-watt, 250-watt, 240-watt and up to 360 watts with leading global computing companies. We expect to continue gaining momentum in the performance computing market throughout '26. And lastly, in industrial electrification, we're starting to see GaN and high-voltage SiC action in high-performance applications spanning industrial pumps and heavy equipment electrification like DC-DC converters and megawatt chargers. Turning to our second pillar, technology leadership. We continue to prioritize innovation across GaN and high-voltage SiC technology, including both product and solutions, supported by expanding customer engagement and co-development projects. One example of this innovation and system expertise was our breakthrough 10-kilowatt DC-DC platform that I just discussed previously. Another highlight was our announcement during the last quarter of our 2,300-volt and 3,300-volt ultra-high-voltage SiC module portfolio, which we have accelerated sampling to more customers. These modules feature proprietary Trench-Assisted Planar technology for AI scalability, advanced robustness and performance in mission-critical applications across grid-tied infrastructure, energy storage and megawatt scale fast charging. These products are available in SiCPAK G-plus power modules, discrete packages and known good die format with extended AEC-plus reliability testing. As mentioned earlier, we announced last week our Gen 5 technology and upcoming new 1.2 kV SiC Q-DPAK product targeting PSU AC-DC for AI data centers. Our new Gen 5 SiC technology continues to improve the figure of merits of our leading GeneSiC technology. It leveraged our Trench-Assisted Planar TAAP architecture, best-in-class thermal behaviors and topside cooling in Q-DPAK. We're now sampling our first new 1.2 kV Gen 5 SiC product to multiple OEM and ODMs designing high-power PSUs and AC-DC for AI data center. On our third pillar, operational efficiency, we have taken actionable steps to create a more streamlined and rebalanced geographically deployed organization. We have been receiving strong employee buy-in and seeing tangible benefits from these efforts. Also, on November 20, we were pleased to announce a long-term strategic technology and manufacturing partnership with GlobalFoundries to accelerate GaN technology design and manufacturing in the United States. This partnership enables secure, scalable solution for our target high-power market and ensures that Navitas can deliver the performance, efficiency and scale our customer demand. It also provides Navitas the opportunity to manufacture our solution in critical and national security applications in U.S. Development began a few weeks ago, and both companies are deeply collaborating with production expected to begin later in the year and accelerate in 2027. Over time, we expect to transition to 8-inch in order to lower product costs and increase scale. Also, during the quarter, we executed actions to restructure and optimize our go-to-market strategy. This included significant consolidation of distribution channel partners from approximately 40 to less than 10 distributors. We have the ability to scale and are well suited for serving high-power market while removing previously mobile-centric distributors. And our fourth pillar, financial discipline, centers on resource realignment in support of our focus on high-power market. This includes a very targeted 19% reduction in headcount in the fourth quarter, offset by realignment action to support the Navitas 2.0 shift, including hiring new employees well equipped for high-power markets, in particular within the United States. As evidenced by our fourth quarter revenue mix, we have made tremendous progress. We also brought in new additional leaders with skills in sales and marketing, R&D and operations with a focus on enabling stronger execution. These collective actions focus the entire company on the high-power market and provide a foundation for efficient and effective execution going forward. Even with a larger market opportunity, our resource realignment allows us to efficiently focus our quarterly spend on the high-power market. As a result, we're targeting to maintain operating expenses flat throughout the coming year. We also expect to drive gradual margin expansion throughout '26 through improving scale and mix of high-power business. Lastly, to further strengthen our balance sheet and fund future operations, we completed a private placement of common stock in November with net proceeds of approximately $96 million, contributing to a quarterly end cash balance of $237 million. These proceeds further support our Navitas 2.0 strategy, accelerating our transformation and funding working capital for scalable growth and long-term value creation. In closing, I am very pleased with the overall progress we achieved in a relatively short period of time. Speed is a financial element of our company's culture, and it's clearly working. We are positioning Navitas 2.0 as a high-power company, sharpening our focus on execution to enable scalable growth. Looking ahead, we anticipate a return to top line sequential growth starting in the first quarter, fueled by increased revenue from high-power markets. When combined with the benefit of our optimized cost structure, streamlined go-to-market approach and accelerated product roadmap, we're also positioned to achieve gradual improvement in gross margin and bottom line results over the coming year. I'm incredibly proud of the team's dedication, hard work and agility in pivoting to Navitas 2.0 vision. I also want to thank our customers for their support to our new strategic direction as well as ongoing contribution to mutually beneficial collaboration and partnership. With that, I'll turn the call over to Todd to review our fourth quarter and full year results as well as our first quarter guidance.
Todd Glickman: Thank you, Chris. In my comments today, I will take you through our fourth quarter and full year 2025 financial results. And then, I'll walk you through some of the important Q4 achievements and market dynamics as well as our outlook for the first quarter 2026. I will then return it to Chris for final remarks before we take questions. Revenue in the fourth quarter of 2025 exceeded the high end of guidance at $7.3 million compared to $10.1 million in the third quarter of 2025. As expected, revenue for the quarter reflects our strategic decision to deprioritize our low-power, lower-profit China mobile and consumer business as well as our efforts to streamline our distribution network to align our focus on high-power markets. As Chris mentioned, our high-power markets represented a majority of our quarterly revenue for the first time in the company's history, with mobile declining to less than 25%. This is a very important milestone and representative of our strategic shift. As mentioned before, we believe that Q4 represented the bottom for revenue, as our strategic actions support driving increased contribution from our high-power business going forward. Before addressing gross profit and expenses, I'd like to refer you to the GAAP to non-GAAP reconciliations in our press release. In the rest of my commentary, I will refer to non-GAAP measures. I would also like to point out that our GAAP results for the fourth quarter included a $16.6 million restructuring and impairment charge that consisted of approximately $10 million of distribution contract terminations, $4 million of fixed asset impairments and $2 million of workforce reduction expenses associated with realigning the entire organization and distribution channel to focus on addressing high-power markets. Of the $16.6 million restructuring and impairment charge in the quarter, $3.8 million was noncash related items. Gross margin in the fourth quarter was $38.7 million, which was flat sequentially with the prior quarter, reflecting the ability to maintain our margin profile despite the lower quarterly revenue. At these revenue levels, we do not yet have the leverage to overcome our fixed costs, but we expect this to improve as we further grow revenue from high-power markets. As mentioned in our last earnings call, we expect to deliver expanded margins, as we pursue a mix change towards higher power markets and away from mobile and low-end consumer. During the fourth quarter, we executed on a 19% workforce reduction, mostly deployed to mobile and consumer and an organizational realignment towards U.S. high-power customers and markets, thereby reducing operating expenses sequentially from $15.4 million to $14.9 million. This is part of our strategic plan to realign the company's resources to the Navitas 2.0 focus. Operating expenses were comprised of SG&A expenses of $6.8 million and R&D expenses of $8.1 million. These expense levels align with our cost reduction targets. The fourth quarter of 2025 loss from operations was $12.1 million compared to $11.5 million in the third quarter of 2025, as the reduction in operating expenses did not fully offset the decrease in revenue. Our weighted average share count for the fourth quarter was approximately 222 million shares. For the full year 2025, revenue was $45.9 million compared to $83.3 million in 2024. Gross margin for the full year was 38.4% compared to 40.4% last year. 2025 operating expenses were $63.6 million compared to $83.4 million in 2024. The full year loss from operation was $46 million versus $49.7 million last year. As Chris mentioned, the fourth quarter represented the bottom in quarterly revenue, and we expect to return to top line sequential growth throughout 2026, as we continue our transition to high-power markets. Turning to the balance sheet. Accounts receivable was down to $3.6 million from $9.8 million in the third quarter, reducing our DSOs to 45 days. Inventory decreased to $13.3 million from $14.7 million last quarter. Cash and cash equivalents at quarter end were approximately $237 million, reflecting net proceeds of approximately $96 million from our completed private placement of common stock in November 2025. The company continues to carry no debt. Our balance sheet remains very strong as we exit the year with a high level of liquidity and improved working capital position. Moving to guidance for the first quarter of 2026. We expect revenue to increase sequentially to between $8 million and $8.5 million. This represents the first quarter-over-quarter growth since the company's pivot. As I just mentioned, we expect sequential growth to continue throughout the year, driven by increasing revenue contribution from high-power markets. Gross margin for the first quarter is expected to be 38.7%, plus or minus 25 basis points. We continue to anticipate the technological innovations to bring to high-power, high-growth markets will result in progressive expansion of future gross margins. Turning to operating expenses. We anticipate operating expenses to remain approximately $15 million for the first quarter. We expect to continue to allocate resources and expenses, as we redeploy company resources towards higher power customer end markets, particularly within the U.S. This redeployment of resources is expected to offset the strategic downsizing of our facilities to result in flat operating expenses. For the first quarter, we expect our weighted average share count to be approximately 230 million shares. In closing, we are pleased with our initial progress and accelerated pivot to Navitas 2.0, as evidenced by high-power products representing the majority of our quarterly revenue for the first time. We expect to increasingly benefit from the broadening adoption of our GaN and high-voltage SiC products in targeted high-power markets. Together, with our recent actions to reallocate resources, optimize operational efficiencies and restructure distribution channels, we believe that Navitas is on a path to deliver improving margins and bottom line results. I'd now like to turn the call back to Chris for some final comments before opening the call to questions.
Chris Allexandre: As we close today's call, I want to address one additional matter. After an extraordinary 10 years of dedicated service, Todd has decided to step down as CFO to pursue other opportunities. He has been an invaluable partner to everyone in the company, bringing financial discipline, strategic insight and weathering integrity that helped steer us through periods of both growth and challenges. Todd has also been a great partner over the last 6 months, helping to pivot and transition the company to Navitas 2.0. On behalf of the entire Board and executive team, I want to extend our gratitude for all of his contribution over the past decade. We have strong financial organization in place, and Todd is fully committed to assisting in a seamless transition until his successor has been made. We expect to communicate in the coming weeks regarding Todd's replacement and Navitas' new CFO. We enter in this new chapter with confidence in our strategy, our momentum and our ability to continue delivering long-term value for our shareholders. Thank you again for joining us today. Operator, we might now open the call to questions.
Operator: [Operator Instructions] And our first question comes from the line of Kevin Garrigan with Jefferies.
Kevin Garrigan: Chris and Todd, congrats on the results. And Todd, best of luck on your next path forward. Can you guys just walk us through how each of the high-power end markets performed in Q4? And how we should think about the trajectory for each of those markets in Q1?
Todd Glickman: Yes. Well, obviously, our quarter-on-quarter growth in revenue was due to the high-power markets. So they are performing well. We're not going to sort of break out the high-power markets at this time, but we do expect all of them to be performing on a go-forward basis as mobile becomes immaterial, as we move through the year.
Kevin Garrigan: Okay. Got it. And then as a follow-up, can you just update us on the progress of the 800-volt architecture opportunity? And can you give us a sense of a timeline on customer decisions?
Chris Allexandre: Kevin, this is Chris. As we talked last time, there's a lot of work going on between us and the hyperscalers, not only one, but multiple of them on the adoption of the 800-volt HVDC. We sampled, as we mentioned in the press release and in the script, some of the new products that will be used in this type of architecture. We also announced a leading-edge 800-volt to 50-volt DC-DC brick that demonstrates the performance we can get with those products. So there's a continuation of collaboration. It's a bit too early to kind of tell you when this will be confirmed, but I think we are getting closer and closer with our customers.
Kevin Garrigan: Okay. Great. Congrats again on the results.
Chris Allexandre: The one thing I would add, Kevin, is everybody refers to the 800-volt HVDC as a step function for power content in the AI data center, and this is true, especially with the adoption of GaN replacing silicon as you move to the 800-volt HVDC, right? But I would outline that in AI DC, and you heard it from multiple vendors, is that there is an acceleration of demand also in using the classic architecture, which is AC-DC, right, using SiC. And we see a growth throughout the year ahead of the step function with GaN in HVDC.
Operator: Our next question comes from the line of Kevin Cassidy with Rosenblatt.
Kevin Cassidy: Congratulations on the progress. Just as you mentioned you're working with the hyperscalers. Is this -- are you working directly with them? Would they be building their own power supplies? Or is that going to be a pull to -- from the current power supplies -- suppliers to the hyperscalers?
Chris Allexandre: Kevin, it's actually all of the above, okay? So the hyperscalers, partly 2, are driving the new architecture, right, both in terms of what they expect in terms of density and power level in the AC-DC PSUs as well as the 800-volt either 50-volt or even lower voltage HVDC architecture, right? Now, we don't work only with the hyperscalers. If you think about PSU, which is clearly designed in OEMs and ODMs that are serving those hyperscalers, and if you look at the HVDC, a lot of these that are classic merchant power companies serving the hyperscalers, are also doing designs on this new architecture. So we work with everybody. I would tell you that the driver of the change of the architecture comes from the U.S. and the hyperscalers, but a lot of the OEM and ODM in Taiwan, in China, but also in the U.S. are driving that. And as you know, we just announced this board, right, which I mentioned, which was basically a co-development with the customer. And that's basically to showcase the level of efficiency you can get by using GaN on the primary side and GaN on the secondary side in 800-volt to 50-volt DC-DC brick. And you're going to see more of those reference implementation in the future as well.
Kevin Cassidy: Okay. Great. And have any of your customers or the hyperscalers giving you an idea of when that inflection point would be of when they start doing the installations?
Chris Allexandre: I mean, the thing I would say is, as I said just earlier on Kevin's question, there are 2 stream, if you prefer, of the AI data center growth. Number one is more data centers, more power, and that drives more PSUs, higher-power PSUs and that drives the growth in SiC, which we are seeing throughout '26. When it comes to the 800-volt HVDC, which I think is your question, when there is a discontinuity and you cannot use silicon anymore on the primary side because you're 800-volt and you have to move to high-voltage GaN. This is really driven by not the GPU change, but the rack architecture change. As you compact more GPUs into a single rack and you get to megawatt rack, you cannot get the power density and the efficiency with silicon. And that's this discontinuity. I would say, as we said before, this is really about '27. Will GaN be used slightly earlier? It could. There is a case where you can use GaN in the 48-volt IBC replacing silicon, as I mentioned in the script, where GaN brings higher efficiency. You can do it with silicon, but you get higher efficiency. And this might be the first time you see GaN in data centers. But the real step function is really coming from the 800-volt DC, which is really kind of linked to the Kyber rack, which is the higher integration of GPUs in '27.
Kevin Cassidy: And also I'll give my best wishes to Todd, pleasure working with you.
Todd Glickman: Thanks, Kevin.
Operator: Next question comes from the line of Quinn Bolton with Needham.
Quinn Bolton: Congratulations on the progress on the transformation to Navitas 2.0, and best wishes to you, Todd. I guess, Chris, I wanted to come back on the 800 HVDC solution, especially as you think about the primary side of that 800-volt rail. There are still a lot of folks in the industry that I think are talking about using silicon carbide in that 800-volt conversion step. You guys are obviously pushing the GaN solution. But I guess, can you say -- what are you seeing from the leading GPU and hyperscaler vendors that are looking at the 800-volt or the 400 plus/minus rack architectures? Are they pushing more for GaN? Are they open to both GaN and silicon carbide solutions? Just how do you see this playing out from a technology perspective between GaN and silicon carbide?
Chris Allexandre: Thank you, Quinn. It's a very good question actually because I think there is some level of confusion. First of all, I would tell you that we are not pushing anything. We have both SiC and GaN, and we welcome SiC being used on the primary side if it's needed and GaN being used on the primary side if that's needed. So we're not pushing anything. We are being pulled. We've not seen any significant use case of board implementation of customer evaluation using SiC on the primary side. SiC is being used widely at 1.2 kilovolt, as I mentioned, in the classic AC-DC, right, which is basically prior to the 800-volt DC. But when it comes to 800-volt DC, we've been pulled by customers. And I'm talking about hyperscalers to Kevin's question here that are really driving the GaN adoption because it's more efficient and more driving higher density.
Quinn Bolton: Okay. And then, Chris, you also talked about your 10-kilowatt all GaN brick solution. Can you give us a sense is that more of a reference platform? Or would that be a solution that Navitas would look to source that entire brick level product? Because I imagine it includes a fair amount of additional componentry. And so just thinking about to the extent you're selling the full brick solution, I imagine that might be pretty high-dollar content. So could you just talk about whether you would really just sell the GaN solutions as part of that brick? Would you sell the entire brick? And if you did sell the entire brick, what would the margin implications be?
Chris Allexandre: So, of course, it's a very good question. Thank you, Quinn. We view this as an enabling solution enabling technology for the customers. So first of all, as I mentioned, this is something we've done with the customer. We have not done that in a vacuum on our own, right? This is something that we've co-developed with a leading customer, number one. Number two is we don't compete with customers, okay? At this stage, we don't see a path where we're going to sell the modules. Now, that design is shared with our customers and the hyperscalers as well as the ODM and OEM that are looking at how we've been able to achieve that high level of efficiency, right, 98.5%, which we believe, based on what we've seen and some of our competitors' feedback on top of customers, are one of the best in the industry, right? So I would tell you, this is for us -- this is what we've done in GaN historically. We pioneered GaN in mobile by demonstrating and helping customers to get to highest level of efficiency, lowest EMI, highest level of density. And we are doing the same in AI data center. And this is what I talk about -- when we talk about 2.0, we're leveraging the benefit and the skills of 1.0, right? And this system expertise makes a difference. At the end of the day, we are in the business of selling GaN and silicon carbide and enabling our customers. As a matter of fact, on that board, we're using some of our competitors in our silicon and other technologies and products that we don't have. But the focus is how to show and help the customers to accelerate the adoption of GaN in HVDC.
Operator: Next question comes from the line of Jon Tanwanteng with CJS Securities.
Jonathan Tanwanteng: And I'll join the queue in wishing Todd well wishes on his journey. If you could start, maybe talk a little bit about the competitive landscape in supplying the 800-volt data center. What are you seeing just in terms of who you're bidding against in these sockets, if they're outpricing you or doing better in technology? And on top of that, how is your partnership with Infineon evolving in that space as well?
Chris Allexandre: So thank you for your question, Jon. So I'll start with the end. We continue our partnership with Infineon. We have a cross license, as you know, and we share the same vision, which is to enable the accelerated adoption of GaN and silicon carbide in the AI DC, right, so SiC as the traditional architecture and GaN in the 800-volt DC, right? So there's a lot of dialogue between the 2 companies on that front, right? Number two, you all have seen that there are multiple vendors having been listed on the 800-volt AI factory kind of ecosystem. As a matter of fact, I think it's up to 13 vendors today. But we don't see all of them in each of the socket we target. So I would recommend that you look at how many of those 13 are actually in the high-voltage GaN, so how many of them have a 650-volt GaN in the right package to be able to enable 800-volt HVDC, how many of them have mid-voltage GaN to enable the 50-volt secondary side. Some of them are listed as a silicon vendor, okay? We are listed as a GaN vendor. The other thing is, as we talked about SiC being used on the AC-DC as well, there is a natural pull on more SiC as we get to higher voltage, and also outside of data center, to do the 800-volt HVDC, you need to enable a change of the grid architecture. This is a pure high-voltage, ultra-voltage SiC play. So what I will tell you is there's a lot of competition, but not everybody is competing on the same thing. And there are not many of the vendors being listed that have both high-voltage SiC or ultra-voltage SiC, either competing in the AC-DC with 1.2 kV or in the grid with 2 kV and above and having high-voltage and mid-voltage GaN. So this competition pool is actually being reduced. That's why we are very clear about what we do. We don't play in the silicon. We play in the GaN, high-voltage, mid-voltage and in the high voltage and high-voltage SiC.
Jonathan Tanwanteng: Got it. And then second, could you update us on the incremental margin of either this 800-volt data center products or high-power products in general, especially as you roll out new suppliers?
Chris Allexandre: So first of all, as Todd said, right, we expect continuous gross margin expansion. So remember that the growth this year is coming from all high-power markets and basically mobile going down, right, being less than 25%. What I would tell you is the scale is going to help more gross margin. As we grow revenue, some of our fixed costs absorb that and that drives margin expansion. Number two is the high-power products in the high-power market are coming at a higher margin than mobile was, okay? And that mix is going to change. And the third one is we are very active in ramping new suppliers, particularly on the package side that will help us to reduce costs, right? So there's multiple aspects of how we are confident to see gross margin expansion, as we clearly outlined for the rest of '26, right? And as we scale further in '27, we expect that to continue.
Operator: [Operator Instructions] Next question comes from the line of Jack Egan with Charter Equity Research.
Jack Egan: I had kind of a follow-up on the gross margin question before me. So as mobile is getting smaller and smaller, I'm kind of curious about the longer-term outlook. Are your gross margins more so going to be driven by mix as in data center and non-data center end market mix? Or is it more kind of the technological innovation, I guess, that Todd mentioned that -- it sounds like it's referring to new products with higher ASPs? So I guess I'm trying to look at what the driver of the margins -- that margin expansion is, whether it's end market mix or better product margins?
Todd Glickman: So it's actually going to be a combination of both. So definitely end product mix, right? As mobile decreases, the high-power markets are going to give us higher margin. Those are more based on reliability and performance. But then on -- as we sort of scale and as these new products come into the high-power markets, we do expect like further expansions through like optimized process, yields and packaging costs, which will help drive our product cost down, thereby driving our margins up as well.
Chris Allexandre: The one thing I would add, Jack, is, okay, scale, cost reduction and basically higher-margin product, right, as Todd said. But the one thing I would say is that, again, the growth this year, and I think we've been very clear that we are very confident that Q4 was the bottom, we are guiding up for Q1, and we said we're going to grow quarter-over-quarter throughout the year with margin expansion, I would reemphasize again that the growth is coming from whole high-power markets. Yes, AI data center is a big part of the future outlook. And if you look at the SAM that we shared just a few weeks ago, it's nearly half of the SAM that we see for us in 2030. But I would outline that performance computing is growing this year, okay? It will continue to grow and also help on the margin mix. Grid infrastructure is really accelerating. And I think you're going to see higher ASP products, higher-margin products coming in play there, where it's more about reliability and performance and less about cost. Of course, costs matter. And then, as we talked about in AI data center, which is a cost-sensitive market, it's all about efficiency right now, okay? And I think you're going to see all those markets contributing to the growth expansion in gross margins, right? So I just wanted to kind of calibrate a little bit your question to make sure that we don't see the gross margin expansion only coming from AI data center.
Jack Egan: Sure, Chris. No, that's super helpful then. And then I guess, kind of from a higher level, I know you're not supplying as much into some of the automotive and industrial type markets, but silicon carbide has gone through -- just broadly speaking, has gone through a period of pretty significant oversupply. And so I was just kind of curious, what are your expectations on when that supply and demand in some of the other markets might balance out, whether for Navitas or whether the industry as a whole? I know that you're dealing with some large volume wins that so it might not apply to you as much, but just any commentary there would be helpful.
Chris Allexandre: I mean, to be honest with you, John (sic) [ Jack ], I think, first of all, as an industry veteran, I would say it's going to take some time, but I think you should ask that to the vendors that are supplying into EV. We don't. We don't play in the same league of SiC, okay? You've seen me being very clear about the fact that we compete and focus on 1.2 kV for the PSUs for AI data center and 2 kV and above up to 5 kV and even more for the grid. This is where -- this is not about scale of supply, this is about how reliable and efficient and high performance is your technology. So I think for some of the SiC vendors operating at 450-volt, 650-volt, 800-volt focusing on EV, that's a valid concern. For us, it's about scaling with the ultra-high voltage, okay, which is nothing really related to supply at this stage.
Operator: Next question comes from the line of Richard Shannon with Craig-Hallum.
Richard Shannon: Apologies to ambient noise, I just jumped off the plane here and I missed a bit of the call here. So I hope I don't repeat any questions here. But Chris, one thing I'd love to ask you is in the AI data center opportunity here. To what degree are your opportunities coming from your partnership and kind of drafting behind, if you will, from Infineon versus other ways? And then also, are there any -- is there any cross-fertilization of wins within the rack between point of load and the 800-volt down? Do those kind of cross-fertilize and give you additional benefit at all?
Chris Allexandre: So -- a very good question. As I mentioned, we partner with Infineon. We have a cross-license. We've done that a couple of years ago. We continue to drive collaboration to enable GaN adoption, both the high-voltage and mid-voltage. I would say that we don't leverage or benefit from Infineon. What you will see is -- I think I got a question earlier from Kevin, who are you bumping into most of the time? I would say it's probably Infineon and surely Infineon because they have the same vision. They have the same technology, high-voltage GaN, mid-voltage GaN and SiC and ultra-high-voltage SiC as well for the grid infrastructure. So there are very similarities. So we bump into each other. We follow each other, but I would not say that we leverage Infineon, right? Now, interestingly enough, when we released the package, we found that we -- because we talk to the same customers, we think the same way is we end up seeing the technology the same way. That's what I would say. On your question about expansion of portfolio, that's something we are looking at. My focus right now was to pivot the company, okay, and put every eggs we have, every engineer we have, every focus we have on the 4 high-power markets and the high-voltage GaN and GaN in high-voltage SiC. But we are looking at opportunity to expand the portfolio. As you get higher voltage in the data center, you're going to need circuit protection, and that's something we're going to look at in the future, right? But for now, we are laser-focused on execution with the product we have and we just released.
Richard Shannon: Okay. Fair enough. And the second question probably for Todd, just on the gross margins. If I caught the end of his prepared remarks, talked about not having enough scale to really drive leverage on gross margins quite yet here. Is there a revenue level by which that happens here? And kind of what's that fall-through margin when you start to see that trajectory?
Todd Glickman: Yes. That's a great question. As our mix changes, obviously, our margins will grow. But right now, we have that scale issue. We do see margins starting to expand again in Q2 and beyond. So that's sort of the tipping point right now.
Chris Allexandre: What I would tell you, Jack, is the high-power markets and the high-power product in the high-power market are coming at higher margins. The mobile is going down. We said that in Q4, it was 25%, and we said it's going to continue to go down and get insignificant by the end of '26, right? So I think we are very confident that the mix of the mix change, the higher power product in the high-power market increase as a percentage of the company and the new product and the cost reduction we have will yield to gross margin expansion. So you'll see it right and clear, okay, starting not very far from now.
Richard Shannon: Okay. Appreciate that detail. And, Todd, good luck on your next endeavor.
Operator: Our last question comes from the line of Quinn Bolton with Needham.
Quinn Bolton: Chris, you spent a lot of time talking about the high -the 800-volt data center opportunity. But you also talked about needing to re-architect the grid. And I just wondered if you could spend a second talking about the opportunity for the high-voltage silicon carbide and the solid-state transformers, sort of where are you in the design process for some of those solid-state transformers? And is there a way you can ballpark like what's the dollar content opportunity? I don't know if it's on a per megawatt basis or a per unit basis, but is there a way to size what the amount of high-voltage SiC that goes into a solid-state transformer, as they start to be deployed as the grid is re-architected?
Chris Allexandre: Thank you, Quinn, for this follow-up question. Actually, I'm glad you asked that question because everybody focused on AI DC data center, and everybody is focusing on the 800-volt HVDC architecture, which is important because it's a discontinuity in the architecture. It's a replacement of silicon by GaN, right, or by high-voltage technology. But none of this is possible if the grid is not changing. And this is not just about getting a more efficient grid, it's a change of the architecture. And you refer to SSTs, which is basically getting from 35,000-volt AC super-high-power, high-voltage lines down to 800-volt DC at the highest level of reliability. That drives the change. And I tell you, I've never seen the grid infrastructure changing that fast. So you asked me, and I think we said it in the script and in the press release, we are accelerating the sampling of our 2.3 kV and 3.2 kV. Applications are any grid type application, SST, of course, but battery energy system, megawatt chargers, solar farm at the grid type level. Any of those applications are in accelerated designs, we are very busy talking to all those customers. That's why I said it's 2 legs, okay? We have 4 high-power market. But if I look at the future, those 2 legs, the AI DC and the grid are equally important. And this is a pure high-voltage SiC play. And to the earlier question about EV, this is not the same technology because what you have to deliver is high reliability technology, high reliable modules. So it's a different play, right? So I'm glad you asked the question. We see an accelerated design momentum. Of course, it's going to take time. This is longer design cycle than computing. It's longer design cycle than AI DC. But I think you'll start to see a significant revenue growth starting '27. To your question about content, in the last investor meeting we had, we basically referred to $25,000 to $35,000 per megawatt of total content for Navitas as a SAM, which is based again on ultra-high voltage, high-voltage SiC, so 1.2 kV and 2 kV and above and GaN and about $10,000 to $12,000 is actually outside of data center. So you think about $25,000 to $35,000, $10,000 to $12,000 of this is outside of data center, which is purely SST, BESS and all those application, right? So -- and again, inside data center, you have a share between SiC for PSUs and GaN as you move to 800-volt DC. But we should not underestimate the importance and the potential of the grid infrastructure. As a matter of fact, we released a couple of weeks ago a detailed SAM analysis that shows that both GaN and SiC are 50%-50%, okay, in 2030 in terms of the potential for Navitas to the $3.5 billion that we referred earlier. And you can see that the grid is not far off the SAM of data center. And the other thing I would say is this is just the beginning. So if you think about grid, this is a multiple-decade transformation that will drive higher voltage continuously. We started with 2 kV. We're getting to 3 kV. We're going to get to 5 kV and above. And that's going to drive transformation for the next multiple decades.
Operator: That concludes the question-and-answer session. I would now like to turn the call back over to the management team for closing remarks.
Chris Allexandre: Thank you, everybody, for attending this call. As you could tell, we are very proud of the progress we are making. The first 5 months and 6 months since I joined was about pivoting the company and being clear about where we are going. I think we've done that. We are focusing on accelerating samples of our technology. We have 4 pillars of the transformation, which I mentioned: market focus, technology leadership, operational efficiency and financial discipline. And we'll continue to update you on how we make progress. And I think we have a bright future ahead of us.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining in. You may now disconnect.